Operator: Good day and thank you for standing by. Welcome to the PAA and PAGP First Quarter 2021 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session.  I would now like to hand the conference over to your speaker today, Roy Lamoreaux. Please go ahead.
Roy Lamoreaux: Thank you, Joseph. Good afternoon and welcome to Plains All American's first quarter 2021 earnings call. Today's slide presentation is posted on the Investor Relations website under the News and Events section at plainsallamerican.com, where audio replay will also be available following today's call.
Willie Chiang: Thanks, Roy, and thanks to each of you for joining us this evening. We plan to keep our prepared comments brief. We continue to make solid progress on our plans, reporting first quarter results that exceeded our implied expectations by roughly $50 million, generating strong free cash flow, maintaining full year 2021 adjusted EBITDA guidance at plus or minus $2.15 billion, and advancing a number of key objectives. I'll note that our full year guidance incorporates estimated $25 million net benefit from winter storm Uri. Al will provide more detail on our results and outlook in this section of the call. I'll plan to focus my comments today on our longer-term positioning. We are increasingly constructive in our outlook for global energy demand recovery. COVID vaccinations are progressing. Key world economies are reopening and global inventory levels have drawn down meaningfully. On the supply side, the combination of OPEC's discipline, recent increases in Permian activity levels and our ongoing dialogue with producers reinforces our confidence in the Permian to resume growth in the back half of 2021. And importantly, building momentum into 2022 and beyond as global supply and demand balance improves. We expect the Permian to exit 2021 at 4.4 million to 4.5 million barrels a day, which is an increase of 200,000 to 300,000 barrels a day from year-end 2020 to year-end 2021. Notwithstanding our constructive bias, we chose to maintain our 2021 adjusted EBITDA guidance of $2.15 billion at this time due to the combination of the timing matters that Al will cover and the fact that our constructive view of the fundamentals is weighted towards the end of the year. For PAA, we believe 2021 represents meaningful cash flow injection point.
Al Swanson: Thanks, Willie. As shown on slide six, our first quarter fee-based adjusted EBITDA of $559 million exceeded expectations and was in line with fourth quarter 2020. First quarter results benefited from lower power costs, including gains on power hedges and stronger results in our natural gas storage business as well as some lower operating expenses that are timing related, and we expect to incur later in the year. These benefits more than offset the revenue impacts of the storm-related downtime across our Texas and Mid-Con pipeline systems as well as lower realized revenue at certain non-hub crude terminals and Canadian NGL facilities.
Willie Chiang: Thank you, Al. We've turned a meaningful corner with respect to free cash flow generation, and we expect to enhance unit holder value by generating significant levels of free cash flow over a multiyear period and we will continue to allocate free cash flow to the benefit of our unit holders. We are increasingly constructive on the long-term outlook of North American energy, including our business as global demand continues to recover. Meanwhile, our focus continues to be maximizing our free cash flow through optimizing and rationalizing our systems, working with customers, partners and peers to align interests and streamline and rationalize excess capacity, lowering our cost of operations, advancing our sustainability program, and above all, delivering safe, reliable and responsible operations. A recap of our 2021 goals are outlined on slide 10, followed by a summary key takeaways from today's call provided on slide 11. We appreciate your investment in and support of planes, and we look forward to providing you with additional updates on our continued progress. With that, I'll turn the call over to Roy to lead us into Q&A.
Roy Lamoreaux: Thanks, Willie. We enter the Q&A session. Please limit yourself to one question and one follow-up question and return to the queue if you have additional follow-ups. This will allow us to address the top questions for as many participants as practical and are available time this afternoon. Additionally, our Investor Relations team plans to be available throughout the week to address additional questions. Joseph, we're now ready to open the call for questions.
Operator: Thank you, presenters.  We have our first question from Shneur Gershuni. Your line is open.
Shneur Gershuni: Hi. Good afternoon, everyone. Maybe to start off, I was wondering if you can sort of reconcile the guidance for me a little bit here. Overall, you had a strong quarter, certainly better than you had guided from a fee-based perspective. Your commentary on the call today, definitely more constructive than it was last time. You talked about building momentum. It sounds like your production forecast for the Permian, back-half weighted, but it's certainly better. And so, kind of on the math, you kind of view expectations by $60 million, that your fee-based guidance is only up about $25 million. Is that in the election of conservatism? I think you had mentioned the word election before? Or is there a degradation in the base business? Is something happening in the back half of the year. I was wondering if you can just, sort of, expand on that for us, if you can.
Willie Chiang: Thanks Shneur. I'll start off and then I'll let Jeremy and Harry, kind of, fill in the blanks. When you think -- if your question is around the full year or just first quarter, was it focused on just first quarter.
Shneur Gershuni: It's around the full year. I mean, at the end of the day, you beat expectations, but you maintain guide, which it seems to -- even on the fee-based basis, seems to imply that you're expecting a worse back half of the year. But you talked about momentum and positive commentary. So I was just trying to figure out if you can square that if that's conservatism or if that's -- or if there's something that we need to be thinking about?
Willie Chiang: Yes, Shneur, let me start, and then others who can jump in here. I made a comment in my prepared comments, if you think about the benefits of the -- that we got based on the storm, it's really $25 million across the whole -- its $25 million for the year. And that's related to some of the shifting in the impacts of the storm shifting into S&L and I think that will be a good starting point maybe for Jeremy to comment a bit more.
Jeremy Goebel: Good afternoon, Shneur. So, it's a bit of an acceleration. We saw some benefit in the first quarter that $50 million that you mentioned is driven by the transportation segment, seeing additional -- or lower operating costs, somewhat offset by lower volumes and our Facility segment benefiting from some opportunistic around our NGL facilities. Part of that involved some operating expenses close to $5 million to $10 million. That was deferred to later in the year just because of timing and interruptions in Q1. So that as part of the net $50 million going down to $25 million. The other component is driven by S&L, there were some impacts of Uri, that were pushed into the second quarter and even further based on market spreads and timing. And so you'd see some of that erosion is just all lumpiness associated with Uri. So, if you say the net impact is $25 million versus $50 million the other part is just wait and see on the rest of the opportunity. We see completions. We see efficiencies, but we really haven't seen the rigs accelerate faster. And so we're looking to see for production growth back-end weighted. And we're also seeing -- I'll mention this as well, is we're not seeing Canadian differentials widen to historical levels based on the level of proration. Part of that's built into our plan, and we're looking to see. But as far as core Permian assets and other assets are performing in line with expectations. There's no degradation to that core business.
Shneur Gershuni: Okay. That makes sense. Really do appreciate the wait and see aspect of it. Maybe it's a follow-up question. I was wondering if we can talk about the asset sale process. If you can remind us in terms of the timing and EBITDA that you've baked into the guidance for this year? And does this process block you out from doing any share repurchases?
Jeremy Goebel: So, this is Jeremy Goebel again. As Alan, Willie both stated, we are very confident in our ability to execute. The processes all begin in the first quarter of this year. We don't want to speculate on timing or impact of the transactions just for the sake of confidentiality. But I feel very strongly in our ability to execute with regard to our targets.
Willie Chiang: Richard, why don't you comment on the blackout period?
Richard McGee: So I don't think the asset sales, the timing of that will have any impact. On repurchases, we predicted our -- included that as part of our guidance. And so no impact on the ability to affect repurchases.
Shneur Gershuni: Okay. Perfect. Thank you very much. Really appreciate the color and the clarification today.
Willie Chiang: Thanks Shneur.
Operator: We have our next question from Christine Cho from Barclays. Your line is open.
Christine Cho: Thank you. Yes, Jeremy, you usually provide sort of like expectations for what exit rate for the year is on Permian volumes. So curious, if we could kind of get that and maybe sort of what that means for 2022, for you guys? And in that context, how should we think about earnings growth tied to the volumes with the headwind that we're going to be one year closer to some contract expirations. Just at what point do you guys think about blend and extent to keep the volumes on your system for longer?
Willie Chiang: Jeremy?
Jeremy Goebel: Christine, good questions. So we'll start. And if I get them right, I heard there's an exit rate. What does that mean for momentum into 2022? And then what does that mean for our ability to contract longer-term on our pipes.
Christine Cho: Right.
Jeremy Goebel: So, with the first question, I would say that we're seeing a positive bias on drilling and rig completion efficiency, manifesting themselves in shorter cycle times and higher EURs, and that's driven by spacing. We're seeing -- February was a bit of a speed bump. I mean, Texas production, New Mexico production, were down just because of timing, but March and April came back stronger. What we're seeing is an acceleration of some completions into this commodity environment, but the rigs aren't there. They're pacing our original projections. So we're seeing some acceleration of production, but nothing that materially changed our outlook. So if we entered the year at 4.2 million barrels a day, our view is 4.4 million to 4.5 million barrels a day exit. Rigs really need to step in and for acceleration. But this goes to your 2022 expectations. We're increasingly optimistic about North American production, but it ultimately comes down to supply and demand. We're not going to see that material rig ramp until you see OPEC production come out. From behind high, and you see demand fill that. So, I think there's a wait and see approach there. That's why we're cautiously optimistic. But we need to see demand respond, and we need to see the OPEC barrels hit to market before you'll really see an expectation. So, it's really too early to call 2022, because you need to see that backfill of additional rigs will take to enter material production growth. I know, I didn't directly answer your question, but that's how we're thinking about it at this time. With regard to blend and extends, we're constantly in dialogue with our customers. Right now with 50 to 66 Midland MEH differentials, that doesn't bode well for re-contracting at levels that we accept. So what we're doing is we're staying close to our customers. We continue to add dedications of the lease. And we're now well over 2.5 million acres with term that continues to extend. Our customers are very happy with us. And when those customers come back to re-contract, part of the big problem with the long-haul pipes right now is people securing supply. We first purchased over 900,000 barrels a day in a very strong position when it comes to either filling the pipes ourselves or re-contracting. So volume is not going to be a concern in filling our pipes. We want to do it at the right time. So, I think we have levers that most don't tool will be patient, but we're in constant dialogue there, and we'll constantly look for opportunities to rationalize across the space to where -- while you say we don't have time, 2025 is a long time from now before we have any material reductions on our commitments. So, we do have time to let some of this evolve, because the industry understands the overcapacity, and they're constantly looking for options to rationalize, and we'll be right in the center of those discussions.
Willie Chiang: And Christine -- I'm sorry, go ahead.
Christine Cho: No, go ahead, please.
Willie Chiang: I was just going to add -- this is Willie. The key point on this is the momentum that builds with our expectations in the end of 2021. It happens at the end of 2021. But, clearly, if you don't build the momentum, there's a longer lag time before you see the benefits, and that's what we're optimistic about, and we see the recovery, kind of, driving a quicker growth trajectory into this year, if everything continues the way we expect it to.
Christine Cho: Okay. And then, just because you did sort of end the comments on pipeline or rationalization. As we think about that, it would seem that a conversion to gas would maybe make the most sense since we have sufficient takeaway on the NGL side. From what I understand, it doesn't sound like it's not simple to convert a liquids pipe to gas? It sounds like it requires meaningful CapEx to change out pump stations. And I've also heard that the diameter needs to be at least 30 inches. Is that right or are there other things that these pipes could transport that would require less spending? Just trying to get a sense of what the options are here?
Willie Chiang: Well, Jeremy and Chris have been working this. Jeremy, why don't you start off?
Jeremy Goebel: Christine thanks. And on the rationalization piece, gas is a natural home for takeaway, as you look for more gas hitting in the markets. It's a question of valuation and capital and scope. So those get reviewed from time to time. And then, it's a question of how do you deal with existing contracts and existing structures on pipe. So I think it's one of many options. It's -- I mean, we're looking at any and all options across the system and so are our peers. And so I'd say, just be patient, we don't have details for you now. Some of the comments you make around gas are true, just because of the compressible nature of the gas and fuel consumption increasing with smaller diameter pipes that does make sense. So all of that gets looked at, but I just need you to be patient as we -- as the industry works through the best options, but we're all working on it.
Christine Cho: Chris, do you have anything you want to add?
Chris Chandler: Yes, this is Chris Chandler. I guess, I would just confirm kind of the points you made in your initial question, natural gas pipes are typically larger, and they, of course, require compression instead of pumps like you have on liquids pipes. So it can be done, and it's certainly specific to the asset in question, but it's been done a number of times -- sometimes liquid to gas and back to liquid in the history of our industry. So there's certainly opportunities to do it out there. But in general, you have to replace the pumps with compressors and you do take an efficiency or capacity impact by having a relatively smaller pipe than you might install if you were building it from scratch.
Christine Cho: And Christine, this is Willie. One of the other benefits, I think, that's important is, it seems as if it's getting harder and harder to build assets now. One of the things that we've got is a lot of operating leverage in our system, which gives us the capability to be able to evaluate some of these things, perhaps more than others. And the challenge really is, if you think about capital efficiency across the industry, while it may not be perfect and if you're designing it from scratch, you'd go with a new line of a certain size. In many cases, if when you factor all these other things in, it does make a lot of sense. And that's what the industry is really needs to start working through.
Christine Cho: So really helpful. And maybe if I could just tack on a follow-on. Are all your major long-haul pipes out of the Permian over 30 inches or more?
Chris Chandler: This is Chris Chandler. They vary in size from 20, up to 36 inches.
Christine Cho: Great. Thank you. That’s it for me.
Willie Chiang: Thanks Christine.
Operator: We have our next question from Jeremy Tonet from JPMorgan. Your line is open.
Jeremy Tonet: Hi, good afternoon.
Willie Chiang: Hi, Jeremy.
Jeremy Tonet: Just want to kind of dive in a little bit more on your producer conversations and what's giving you, I guess, the sense of confidence, I guess into 2020, it seems like the privates are a bit more active than the public and just wondering how -- what that means for planes, if you agree with that and you kind of see different activity trends there and what that means for you guys?
Willie Chiang: Jeremy?
Jeremy Goebel: Jeremy thanks, again, for the question. It is consistent. So the public company operators are largely holding the line and maximizing free cash flow and waiting for supply and demand to balance their investors are demanding it, free cash flow going back to equity holders and paying down leverage. The large private producers with little to no leverage, they just see the returns and they're investing in that -- they're investing heavily in it. So there's -- I wouldn't generally say it's private versus public. I'd say a very select group of very large privates that are very well capitalized. That's the group that's hitting the accelerator. And so they'll have some impact, but that's not all that's driving this. I think $65 oil with slight backwardation versus steep backwardation allows producers to hedge. So that's more free cash flow for them to allocate. So, I think market structure, aggregates, flat price, but there's cautious optimism on that side. And there's a few select operators that are stepping out in front of it. The generalization is made with all the privates versus all the public I'd say that there's a gray area, and that's a leg here that are really hitting the accelerator.
Jeremy Tonet: Got it. That's helpful. Thank you for that. And just want to pivot towards energy transition, obviously, very topical and getting more topical. I'm wondering if you had any thoughts on that subject these days. And specifically, thinking about carbon capture and wondering if you see the 45Q credit as the written right now is kind of sufficient to move forward with projects. If you have existing assets that could be kind of redeployed in that direction. Just any thoughts in general would be helpful.
Willie Chiang: Jeremy, this is Willie. On CO2 sequestration, I would tell you, in transport, we have not been as active as far as looking at that. Others can make a comment on it. The point I would make on energy transition is, as you know, our company doesn't produce a resource and we don't manufacture a product. We have commercial agreements to move products from point A to B and find solutions. And so while it may have not been advancing some of the -- in some of the advancing discussions on specific sequestration projects, we do stay very in tune with our upstream and downstream peers and as well as our peers. We see a lot of activity and really it’s our role to figure out how can we generate solutions to moving things around. At this point in time, again, back on CO2, we haven't -- there's nothing that we have really moved forward on, but we stay -- there's really no news I can share with you other than we stay tuned on different things we can do on energy transition.
Jeremy Tonet: Got it. I'll leave it there.
Willie Chiang: Thank you.
Operator: We have our next question from Tristan Richardson from Truist Securities. Your line is open.
Tristan Richardson: Hi, afternoon guys. Clarification question with respect to the upper bound of potential repurchases. Should we think of that as inclusive of asset sales to the extent they materialize throughout the year? Or is that purely just of the free cash flow after distributions guidance?
Willie Chiang: Al, why don't you take that?
Al Swanson: Yes. No, I would think of the up to 25% being the maximum, but what we've articulated specifically around asset sales are that we would have into account and consider the EBITDA that we're selling as well. And so as you're selling an asset, part of those proceeds need to go to reduce debt just to keep leverage flat. So, you got to think of it after that. Again, we provided the up to 25% to give a mathematical maximum, but practically with asset sales, it would be less than that. And then I point you to the other points on our slide nine, just -- there's other considerations that we'll factor it in. We view this as a tool that will be part of our capital allocation going forward. But there will be a number of considerations that will come into play.
Tristan Richardson: That's helpful. And then I appreciate the earlier comments on the cadence of the year. Curious is there any delta around the timing of asset sales that's factored in? Just to follow-up on a previous question, sort of has the timing changed within the year in terms of general assumptions for asset sales that is contributing to sort of that fourth quarter weighted outlook?
Jeremy Goebel: Tristan, it's Jeremy. I'd say, one, we don't want to speak to timing of the asset sales, as we talked about earlier. But we have assumptions in there. They haven't materially changed since the beginning of the year. If something does change, we'll update once we make the announcement of the divestiture.
Tristan Richardson: Appreciate. Thank you guys very much.
Willie Chiang: Thank Tristan.
Operator: We have our next question from Keith Stanley from Wolfe Research. Your line is open.
Keith Stanley: Thanks. Good evening. Just two quick follow-ups. First, sorry if I missed this. Did you comment on the amount of asset sales completed now year-to-date?
Jeremy Goebel: Keith, this is Jeremy Goebel. We've completed $20 million of asset sales to date. And so that's consistent with what we had. I guess we did that in January of this year. So that's the total amount completed to date, the rest is in progress.
Keith Stanley: Okay, great. And then the other one, I just want to understand. So, the lower NGL intersegment fees item. I assume that's just you're lowering rates on some of the facilities assets that the S&L business uses. And I just want to clarify, I think you said facilities EBITDA is hurt $40 million by this, and it helps S&L be $40 million for the year.
Jeremy Goebel: Keith, that's correct. This is Jeremy. Effectively thinking about it is we just charge our marketing affiliate market rates, and we look at that, we make assumptions for the beginning of the year, impact by market structure and competitive rates around the area. And so we've made that adjustment. And so it's a net neutral. It's just an allocation from facilities
Keith Stanley: Great. Thank you.
Operator: We have our next question from Gabe Moreen from Mizuho. Your line is open.
Gabe Moreen: Hey good afternoon everyone. Most of my questions have been asked or answered, but maybe I was just going to talk about how, I guess, low you think you can sort of whittle down your ongoing maintenance CapEx and just out CapEx outside of where you're kind of finding those savings so far and how you might be able to take those numbers on an annual basis?
Willie Chiang: Sure, Gabe. I'll let Chris Chandler address that.
Chris Chandler: Hey Gabe, it's Chris Chandler. I'll start with maintenance capital. We've said previously that we think a long-term run rate for maintenance capital is less than or equal to $200 million. We still believe that to be the case. We did update our guidance for 2021 to $180 million, a $15 million reduction. There's a number of factors driving that, including asset sales that have been completed and ones that are forecasted later in the year. We're also completing a number of multiyear improvement programs related to integrity and reliability that we won't have to spend on going forward. Regulatory requirements continue to evolve as do best practices around the inspection methodology tools and analysis. So it’s a number of factors that by all means not a lack of investment or lack of commitment to maintenance or integrity. But when best practices are found internally or within the industry, we certainly look to apply those. As to your question on investment capital, we've lowered our guidance there by $50 million from $425 million to $375 million. Likewise, there's a number of factors involved. We're always looking to optimize our maintenance capital spend. So some of that's cost improvements, scope reductions, timing optimization we'll talk with our customers and if we can delay a part of the scope of a particular project without a financial impact or with support of the customer we will do that. We've also pushed back the start of construction for the Byhalia project. That's the piece of the Diamond expansion at the very end the 40 miles that goes from the Memphis refinery to the cap line facility outside by in Mississippi. We've done that to take some time to evaluate some alternatives in response to our stakeholder engagement activities that we've been doing for almost two years now. We're still planning on a start-up by year-end. But if the alternatives cause that to change, we'll certainly provide an update when appropriate.
Willie Chiang: Hey Gabe, this is Willie. One thing I want you to take away from what Chris talked about is back to the maximizing free cash flow goal that we all do. I mean, it's part of our dialogue every day as we think about investment CapEx, maintenance CapEx, operating costs on how do we maximize free cash flow, right? And so it is a much broader discussion, and it's really taking hold in the in the business, and that's why we think we will continue to have success in that area.
Gabe Moreen: Thanks. Maybe I could just ask a quick follow-up on, I guess, the Byhalia extension. If your time-line slips there for whatever reason, because you have to look at alternatives, do the Capline contracts still kick in as expected or are those tied together somehow?
Chris Chandler: So this is Chris. I'll answer that. On the Capline reversal, the mainline that originates in Patoka and into St. James, that project is moving ahead as scheduled. It is an independent project, and it's independent of anything on the Diamond expansion and the Diamond extension. So things are unchanged there, and that's still on schedule for a startup by year-end.
Gabe Moreen: Thanks Chris.
Operator: We have our next question from Michael Lapides from Goldman Sachs. Your line is open.
Michael Lapides: Yes. Hey guys, thanks for taking my question. And real quick, just on a follow-up on Diamond Capline. Can you remind us when do you expect Capline to be fully in service kind of -- so both legs? And do you expect it to be at full run rate EBITDA in that first year? Or will it take a couple of years to kind of ramp in of that?
Willie Chiang: Jeremy?
Jeremy Goebel: Hey, thanks for the question. As Chris mentioned, there's a -- we're evaluating some alternatives associated with the Diamond piece. But to reiterate what Chris stated is you'd be at full run rate on committed capacity for Capline from north to south. There is some uncommitted space, and we look to continue to fill that, and we'll -- so based on current commitments, that will go to full run rate in the first quarter of 2022 from the north to southeast, and we'll look to have additional commitments over time. On the Diamond piece, we're evaluating alternatives, and we will update you guys as soon as possible.
Michael Lapides: Got it. And then on Diamond, it's gotten messy, obviously, if the city council and with the litigation underway as well, both state and federal. Just curious, is there an opportunity to use your partner’s pipeline? There’s a second pipeline that runs not too far from Byhalia. Do you have that opportunity to utilize that as they work around, or is that a full pipe right now?
Willie Chiang: Michael, this is Willie. I would tell you, we're evaluating all options and leave it at that.
Michael Lapides: Got it. Okay, thanks guys. Much appreciated.
Willie Chiang: Thank you.
Operator: We have our next question from Jean Ann Salisbury from Bernstein. Your line is open.
Jean Ann Salisbury: The committed tariff that was posted for Wink to Webster recently for $0.72 and then $0.45 per barrel, which I think has caused some investor confusion, and if we're being honest some confusion for me as well. Is the right way to think about it, that's just an interim rate for large customers and the true committed long-term rate hasn't been posted or disclosed yet?
Jeremy Goebel: Jean Ann, this is Jeremy. You're absolutely correct. This is just interim service with limited pump capacity. It's limited origination capacity, and it's effectively matching the AR from Midland to Houston during a period prior to the fourth quarter when the MBCs kick in. So that has no reflection on the long-term committed here and limited destination alternatives.
Jean Ann Salisbury: Okay. And eventually, when the pipeline is up and running that long-term tariff freight will be posted?
Jeremy Goebel: That’s correct.
Jean Ann Salisbury: Okay. Thank you. And then as a follow-up, any update on the Rangeland expansion? It seems like with Keystone getting axed that might be garnering more interest?
Jeremy Goebel: Jean Ann, this is Jeremy. We're in constant dialogue with our customers. We are -- we have interest in that expansion. But at this point, we're shipping and our capacity is full going south from Canada to the U.S. and multiple destinations.
Jean Ann Salisbury: Okay. Thanks.
Willie Chiang: Thanks, Jean Ann.
Operator: We have our last question from Harry Mateer from Barclays. Your line is open.
Harry Mateer: Hi, good afternoon, guys. Al, you highlighted the large drop in short-term debt in the first quarter. And I think historically, you've tended to guide for that number to sort of fluctuating in the $400 million to $800 million range. Is that still a good guide to use? And how should we think about the short-term debt line trending for the rest of 2021?
Al Swanson: Yes. What we would say is, it's obviously, a number of variables that will impact kind of the long-term trend, but that's probably still a reasonable long-term number. What I would say is we do expect some of the benefit we saw in 1Q to be temporal. But we do expect, again, on our free cash flow after distributions to be in that $400 million number. Clearly, 1Q was $500 million. So that kind of tells you what we expect some of that benefit we've seen in 1Q to be temporal.
Harry Mateer: Okay. Thanks. And then related to that, just when it comes to debt reduction, you think about getting these asset sale proceeds in the door, how are you planning to prioritize that that debt reduction? Is there something pre-payable you have? Or is it going to be about lengthening runway? Or might you target some high coupon debt to sort of better boost metrics like free cash flow and coverage?
Al Swanson: Most of our high keep on debt has a lot of maturity left to it. So it's obviously harder to get out and take out, and there's a upfront cost associated with that. We do have, I think, $1.15 billion maturing within the next couple of years. And a few other issues shortly after. So we will likely target some of the near-term senior note maturities to look to retire some on the front end. With that said, we will take a look at if there is an economic benefit to some of the longer-dated stuff, but it's out there a ways. And we think we'd be better suited to try to maintain and manage near-term exposure.
Harry Mateer: Okay. Got it. Thanks very much.
Willie Chiang: Thanks, Harry.
Roy Lamoreaux: I wanted to thank everybody again for joining our call, and we look forward to having follow-up conversations with many of you in the coming days. So thanks again, and we look forward to updating you again in August.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.